Operator: Welcome to ITT's 2015 Fourth Quarter and Full Year Results and 2016 Outlook Conference Call. Today is Friday, February 12, 2016. And starting the call from ITT today is Melissa Trombetta, Vice President, Investor Relations. She is joined by Denise Ramos, Chief Executive Officer and President; and Tom Scalera, Chief Financial Officer. Today's call is being recorded and will be available for replay beginning at 12:00 PM Eastern Standard Time. At this time, all participants have been placed in a listen-only mode, and the floor will be opened for your questions following the presentation. It's now my pleasure to turn the floor over to Melissa Trombetta. You may begin.
Melissa Trombetta - Vice President, Investor Relations: Thank you, Jackie. I'd like to highlight that this morning's presentation, press release and reconciliations of GAAP and non-GAAP financial measures can be found on our website at itt.com/ir. During the course of this call, we will make forward-looking statements as defined in the Private Securities Litigation Reform Act of 1995. No forward-looking statements can be guaranteed, and actual results may differ materially from those projected. We undertake no obligation to publicly update any forward-looking statement, whether as a result of new information, future events or otherwise. Forward-looking statements made on this call should be evaluated together with the risks and uncertainties that affect our business, particularly those disclosed in our SEC filings. Now, let's turn to slide number three, where Denise will discuss our results.
Denise L. Ramos - President, Chief Executive Officer & Director: Good morning, everyone. Thank you for joining us as we announce our financial results for the fourth quarter and full year of 2015. When I look back to this time last year, I remember discussing the growing level of uncertainty in the macroeconomic environment and how that would drive an intense focus all across ITT on those areas that are within our control. As the year unfolded, that focus intensified as external conditions continued to deteriorate with declining global oil and gas markets, weaker-than-expected general industrial markets, a negative impact from a strengthening U.S. dollar. Our collective focus in the three key strategic areas in 2015 of optimizing execution, market expansion, and balanced and effective capital deployment, generated solid financial results and significant strategic progress despite the challenges we faced. Throughout 2015, our strong execution, combined with our diversified portfolio, helped us deliver solid results, which include a 1% decline in organic revenue, which was driven by 4% growth in transportation market led by automotive. This growth nearly offset the declines we experienced in oil and gas and general industrial markets, which were collectively down 6%. Despite the top line decline, we expanded our adjusted operating income margin by 80 basis points to a record 12.8% as we grow productivity and efficiencies across ITT. And at $2.55 per share, we delivered another strong year of adjusted EPS growth. When you exclude the $0.24 foreign exchange impact, our adjusted EPS grew 13%. I'm very proud of this performance for two reasons: compares favorably to our peer group; and the 13% growth is in line with the initial 2015 guidance we provided a year ago. Our focus on controlling what we could control drove strategic progress across our three target areas of focus. I'd like to share some of our more significant achievements. Starting with optimizing execution, we drove the optimization of our Industrial Process business in 2015, which is clearly reflected in their 230 basis points of margin expansion, despite a softening top line. Over the course of the year, the Industrial Process team aggressively reorganized and streamlined their businesses, which generated solid benefits, including productivity and incremental restructuring savings. These improvements also benefited our customers, as we were able to accelerate our overall operational efficiency. While Industrial Process was proactively addressing the current realities of the global oil and gas market and slowing project activity, all of our teams worked extremely hard to identify additional opportunities to improve efficiency and reduce costs in areas including corporate functional efficiency, footprint optimization, and a more focused supplier base. Not only were we able to reduce our overall cost structure across the businesses, but we were also able to reduce our corporate costs by in-sourcing more functional activities as well as increasing efficiency and productivity. These actions helped to deliver a record adjusted EBIT margin of 12.8% this year. And finally, I'd like to highlight that we reduced our net asbestos liability this year by 16%, thanks to a cross-functional team of experts, who have been aggressively driving our strategy to reduce the volatility and uncertainty associated with the assets and liabilities. In addition to the reduced net liability, this team was also able to lower the expected net cash outflows, which in turn, frees up additional capacity that can be deployed back into the businesses for growth. Now, let's look at our market expansion activities in 2015. Despite experiencing market pressures throughout the year, we continue to focus on our long-term strategic markets. Motion Technologies continued their track record of outpacing the global automotive friction market with impressive organic revenue growth of 12% with all major geographies contributing to the results. Our growth in automotive OEM of 17% reflects recent long-term platform wins with key customers such as Ford, Honda and Mazda in North America; Volvo, Daimler, and BMW in Europe; and Volkswagen and BMW in China. During the year, we also expanded our total aftermarket by 6%. These outstanding performances are a direct reflection of our world-class execution capabilities, combined with our material science expertise and our ability to rapidly develop new technologies to meet our customer's evolving global demand. A great example of how these unique qualities and capabilities have helped us to expand our global reach with both new and existing customers would be the North American market, which grew 25% this year. In 2015, we expanded our relationship with Ford through the successful launch of the remodeled F-150 platform. With General Motors, our copper-free brake pads were approved in 2015 and we are very excited about future prospects with them. And we delivered our first OEM copper-free brake pad platform win with Chrysler this year. We also started delivering to several Japanese customers such as Honda and Mazda in the North American market. As we strive to continually expand our global reach, it is milestones such as these that further support the long-term global growth potential of this business. Within this environment, innovation and new product development that solve our customers' most critical challenges are also top of mind. A great example of our focus in this area is the launch of our award-winning i-ALERT2 Equipment Health Monitor, which was named Processing magazine's 2015 Breakthrough Product of the Year. This monitor combines the latest in Bluetooth low-energy technology with sensor technology commonly used in fitness trackers and smart watches into an industrial package. This groundbreaking industrial technology demonstrates our commitment to developing innovative products and provides our customers with safer and more convenient access to their pumps and system data through their smartphones. Moving on to capital deployment, 2015 marks our highest deployment of capital as a standalone company, topping out at close $600 million. We advanced our portfolio by acquiring two great businesses, Wolverine Advanced Materials and Hartzell Aerospace at reasonable multiples. These acquisitions expand our strong core of technologies and capabilities in the automotive, aerospace, and industrial markets. During the year, we also continued our phased investments to further expand our production facilities in Europe and China to meet growing customer demand. As a result of the investments we have made in our China facility, we delivered tremendous top line growth of 17% this year, while delivering strong operating margin. In addition to our organic and inorganic investments, we also executed $80 million of share repurchases during the year, while maintaining a solid and growing dividend. As a result, our total payout ratio in 2015 reached 58%. Now, turning to slide four, let's briefly focus on the fourth quarter results. Organic revenue grew 1% in the quarter. Motion Technologies delivered outstanding organic growth of 29% in automotive friction due to improved global production rates and OEM share gains in all of our key geographies. This growth was augmented by increased independent aftermarket volumes due to a shift in customer buying patterns versus the prior year, along with an increase in OES volume due to the timing of dealer incentive campaigns. The Motion Technologies growth was mostly offset by declines in global upstream oil and gas activity due to lower capital spending and difficult prior-year comparisons, in addition to weak general industrial markets. While organic orders were down 6% versus 2014, it is important to note that sequential organic orders increased 6% versus Q3. The sequential improvement is due to the 12% increase in Industrial Process resulting from midstream and downstream oil and gas project pump activity, coupled with solid defense follow-on orders at Control Technologies. The sequential growth was partially offset by soft orders in our short-cycle pumps and general industrial businesses due to weak market conditions. Q4 adjusted operating income of $72 million is a decline of 4%, or up 5% excluding the $7 million of negative foreign exchange impact. Our results include strong net operating productivity from our ongoing Lean transformation and significant restructuring benefit from the actions taken at Industrial Process and ICS. The growth also reflects lower corporate costs due to our intense focus on efficiency actions and lower environmental expenses. These benefits were diluted by intensified pricing pressures in automotive and industrial process markets, along with disruption costs at ICS and impacts from a legal settlement at Control Technologies. Fourth quarter adjusted EPS of $0.58, which exceeded our expectations, was up 8% versus last year, excluding $0.06 of negative impact from foreign exchange due to strong adjusted operating income results and lower share count, partially offset by a higher effective tax rate. So now, let's turn to our 2016 guidance highlights and areas of strategic focus on slide five. Tom will go into more detail on the guidance numbers, but at a high level, in 2016, we expect to see flat to down 4% total revenue versus 2015, reflecting benefits from strategic acquisitions and benefits from our diversified portfolio. We expect to expand our adjusted segment operating margins by 70 basis points to 90 basis points to over 15%. And lastly, we expect our adjusted EPS to be in the range of $2.42 to $2.68 with a midpoint of $2.55, which is flat to 2015. Shifting to the right side of the table, in 2016, we will continue our strategic momentum and remain laser-focused in the three key areas that drove our progress in 2015: optimizing execution, expanding our market position, and balanced and effective capital deployment. Starting with optimizing execution, as we enter 2016, we are continuing to recalibrate our cost structure to improve efficiency and costs, while building our strategic path for the future. As a result, we expect to take an additional $20 million to $30 million of restructuring and realignment actions this year. These actions will largely take place at Industrial Process, as we further align with the current realities of the oil and gas market and engineered systems project business. This will help to optimize our foundation and position us for long-term organic growth in our Industrial Process business. In addition, we are also continuing to identify opportunities at ICS to reduce their cost structure to better align with our long-term top line expectations and market conditions. And finally, at Control Technologies, we have already started actions to move several product lines to a low-cost region, in addition to actions that advance our Hartzell integration strategy, including cost leverage opportunities. During 2016, we are targeting another year of significant productivity savings of over $100 million, driven by advancing our Lean transformation and realizing supply chain and restructuring benefits. So, let me give you a few examples of the sustainable operational improvement that's going to drive our productivity this year. The world-class manufacturing excellence program at Motion Technologies, which is really the next phase in their Lean transformation, takes a more granular approach and drives operational improvements in areas such as safety, quality, equipment uptime, and material flow. We've already made great progress in our Barge facility, and we'll be expanding it to other Motion Tech facilities. In our Industrial Process business, we have laid out a very detailed set of productivity actions for Seneca Falls, our largest production facility, where we look to further improve our processes and flow of production. And finally, in this environment, it is even more important to increase focus and rigor around processes and reviews to ensure all execution and productivity goals are met. And we'll continue to drive this transformation through regular reviews with each of the businesses to ensure detailed action plans are being executed and goals are being achieved. Moving next to market expansion, we expect strong performance in our transportation market as we are planning for 15% growth, excluding the impact of foreign exchange. The growth in our transportation market is driven by global expansion in our automotive friction business due to new OEM platforms and customers in North America and China, as well as market share gains in Europe, where we expect to continue to outpace auto production rates. From a capital allocation standpoint, we will continue our track record of balanced and effective capital deployment by funding major organic investments that extend our global reach and capabilities and drive future organic growth. This year, we will be expanding our global auto brake pad footprint by adding a new production facility in Mexico that will supply the North American market. We will take a standardized and modular approach, just like we did with our Wuxi, China facility, where we will only add production capacity for the known platform wins. And we will utilize the existing equipment, technologies and processes that have made Motion Technologies so successful. Our commitment to this new facility has been well received by our customers as it will allow us to address our customers' local content requirements, while gaining market share. We expect to begin production in this new facility at the end of 2017. This will be our largest capital investment in 2016, and we expect to incur incremental startup costs of approximately $7 million in 2016. Another example of the targeted investments we plan to make this year is in aerospace engineering, which includes product development and qualification activities for a major aerospace program we have already won. These incremental investments are necessary to increase our highly engineered content on new and existing long-term platforms. Acquisitions are also a critical component of our long-term capital deployment priorities. We continue to build out our pipeline of targets with a focus on close-to-core opportunities. We all know the availability and timing of acquisition target is unpredictable, so we may choose to return capital to shareholders through additional share repurchases during the year, if targets are not actionable. And lastly, I am pleased to announce that we will be increasing our quarterly dividend by 5%, representing our fifth straight year of increases. So as you can see, in 2016, ITT will maintain our intense focus on executing well within the three target areas that are most critical to driving our growth and fulfilling our commitment to our stakeholders just like we did in 2015. Now, before I turn it over to Tom to discuss our 2016 guidance in greater detail, I'd like to thank the employees of ITT for all their hard work and contributions over the past year. 2015 was certainly a difficult year, but our team rose to the challenge and delivered the results that helped ITT maintain the strategic momentum that we have been advancing over the past few years. So now, let me turn it over to Tom.
Thomas M. Scalera - Chief Financial Officer: Thanks, Denise. Now, let's turn to slide six for our 2016 revenue guidance by market. Starting with our largest and fastest growing market of automotive and rail, we expect 20% growth in total revenue or approximately 4% growth, excluding foreign exchange and the impact of our strategic Wolverine acquisition. These results are driven by modest global market growth amplified by global automotive and rail market share gains. Another solid contributor in the broader transportation category is our aerospace and defense business, which is expected to generate 2% total revenue growth driven by our Hartzell acquisition, commercial aerospace, and rotorcraft platform wins, and defense growth due to strong follow-on orders received at the end of 2015. These results are partially diluted by lower volumes in a non-core aerospace platform. We expect to be flat versus 2015 in our general industrial business. We plan to offset the weak market conditions by opportunistically taking share as we focus on further expanding our unique portfolio of energy absorption solutions through new product development, while enhancing our front-end strategies to increase our global capture rate. These markets will be diluted by declines in chemical and industrial pumps, which are expected to decrease mid-single digits this year. These declines are driven by increased pricing pressures on large projects and lower petrochemical and mining project activity. We expect the biggest declines in petrochemical to come from North America and China, as much of the expected build-out in those regions has already taken place. The mining declines are largely due to prior year customer-specific project activity and lower global commodity prices. In addition, we are forecasting weak short cycle pump activity due to cautious customer spending and prolonged replacement cycles. And lastly, oil and gas, which is expected to represent 14% of our 2016 revenues, will be down 30% this year. In the upstream, which is less than 40% of our oil and gas portfolio, we are projecting a decline of approximately 30%. These declines are driven by our late cycle Industrial Process business that experienced significant project order declines in 2015, due to lower capital expenditures on large unconventional projects and intense pricing pressures. We also expect further declines in our short cycle upstream oil and gas connector business. We are forecasting our midstream and downstream markets to be down approximately 25% in 2016 due to delayed project activity, pricing pressure and overall market uncertainty. In addition, we are lapping extremely difficult prior year comparisons as we had 37% global revenue growth in 2015. So, let me provide some additional insights into how we reflected the recent industrial and energy market dynamics in today's guidance. About two months ago, when we started our budgeting process, we were planning on some resumption of normal activity in our industrial pump and oil and gas connector businesses in the second half of 2016. But as a result of the recent 30% decline in oil prices, reduced customer CapEx budgets, and increased macro uncertainty, our guidance shown here today now reflects approximately $80 million to $100 million less revenue than we anticipated when we started our budgeting process. So now, let's turn to our 2016 adjusted segment operating margin guidance on slide seven. In 2016, we expect adjusted segment operating margins to expand 70 basis points to 90 basis points to 15%. This growth will be fueled by entity-wide productivity, driven by our Lean transformation. Also included in our margin expansion will be 160 basis points of incremental benefits from restructuring actions and footprint optimization. These benefits include carry-over from prior-year actions along with savings from new 2016 actions. The majority of these benefits will be in our Industrial Process segment, where we have been aggressively resetting our cost structure, since 2014, to address market conditions and to execute our market-facing internal realignment. We plan to leverage our operational gains and the benefits from volume leverage in our transportation market to offset oil and gas and chemical and industrial pump volume declines and pricing headwinds. In addition, we once again plan to fund 70 basis points of long-term strategic investments that are consistent with those that have fueled our long-term track record of organic growth. The 2016 organic investments will include expansion in our Motion Technologies production capacity in both North America and Wuxi, China, as we continue to locally support our share gains in both regions. Other investments include expanding our aerospace product development and accelerating our Lean transformation. Now, let's turn to slide eight, where we summarized our 2016 annual adjusted EPS guidance in the form of a high level walk. We expect 2016 adjusted EPS to be flat to 2015 at the midpoint of our range of $2.42 to $2.68 per share, representing 2% growth when the foreign currency impacts of $0.06 are excluded from the calculation. The adjusted EPS growth reflects significant volume declines in our oil and gas, and chemical and industrial projects along with incremental pricing pressures. These headwinds will be offset by strong productivity gains and operational improvements. In 2016, we will continue to drive Lean further into the organization and deliver another year of significant productivity savings. This will be achieved by leveraging Lean Six Sigma and global sourcing initiatives and realizing close to $38 million of incremental restructuring savings from prior and current-year actions. As we have successfully done in the past, we will once again reinvest a healthy portion of this year's productivity, approximately $0.15, back into our long-term strategic growth initiatives, as I previously discussed. And please note we have not included any impact from future acquisitions or share repurchases in our EPS guidance. A couple of other housekeeping items, we set our guidance using a year-end euro rate of $1.09. In addition, we expect unallocated corporate and other expenses to be up year-over-year to $50 million. The majority of the increase was due to higher insurance and environmental costs, which included benefits in 2015 that are not expected to repeat in 2016. In addition, we expect interest and miscellaneous expense to also increase to a range of $8 million to $10 million, primarily reflecting a full year of expense resulting from debt used to fund the Wolverine acquisition. And finally, we estimate our 2016 effective tax rate will be approximately 26%. Now, let's wrap up on slide nine where we've summarized our 2016 annual guidance. From a total revenue perspective, we expect to be flat to minus 4% versus the prior year. The global friction share gains coupled with the incremental $130 million in benefit from our strategic acquisitions, Wolverine and Hartzell, are expected to offset the 30% decline in oil and gas and weak chemical and industrial pump markets. This really highlights the effectiveness of our diversified portfolio. Also included in our guidance are incremental pricing pressures and $35 million in foreign exchange headwinds. To combat this top line pressures, we are driving yet another year of strong net operating productivity and restructuring benefits that will fuel 70 basis point to 90 basis point expansion in adjusted segment operating margin to 15% by the end of 2016. Our 2016 adjusted EPS range of $2.42 to $2.68 per share is flat to the prior year at the midpoint of $2.55. And before I wrap up, I'd like to provide some perspectives on how the year is progressing – expected to progress. Based on current indicators, we expect our top line to be fairly evenly weighted between the first half and second half. However, we expect slightly more than 50% of our adjusted EPS to be delivered in the second half of 2016. The biggest driver of our second half EPS strength are the compounding benefits of productivity and 2016 restructuring actions. I'd also like to provide some insights into our preliminary Q1 expectations. Excluding the approximately $13 million of negative foreign currency impacts and contributions from the prior acquisitions, we expect our organic top line to be down low-single digits compared to the prior year. In Q1, automotive OEM share gains and strong OES volumes are expected to be more than offset by lower short cycle and project activity at Industrial Process and weakness in our general industrial markets. In Q1, we expect total adjusted segment margin to be roughly in line with the full year 2015 adjusted segment margin, which is lower than Q1 2015 levels. This decline is driven by lower expected volume, negative pricing impacts and incremental strategic investments. These impacts will be partially offset by strong productivity including restructuring benefits. From a Q1 adjusted EPS perspective, we expect to be more aligned with Q4 2015 levels, which represents a decline in the low-teens compared to Q1 2015. And Q1 corporate costs are also expected to be higher than the prior year due to prior-year environmental cost favorability and higher investment returns that are not expected to repeat in 2016. In summary, we believe our 2016 guidance is grounded for the potential headwinds and tailwinds we see today and reflective of both the current environment and the visibility we have today in our project backlog. As always, we will focus our efforts on strong execution and delivering the productivity that is within our control. So now, let me turn it back to Jackie to start the Q&A session.
Operator: Thank you. Our first question comes from the line of Nathan Jones with Stifel.
Nathan Jones - Stifel, Nicolaus & Co., Inc.: Good morning, everyone.
Denise L. Ramos - President, Chief Executive Officer & Director: Good morning, Nathan.
Thomas M. Scalera - Chief Financial Officer: Good morning, Nathan.
Nathan Jones - Stifel, Nicolaus & Co., Inc.: I guess, let's start in Industrial Process. I think if you kind of – back-of-the-envelope your end market guidance, it kind of implies Industrial Process is going to be down somewhere around 10% in 2016. The backlog in that segment is down 30%-plus. Can you talk about how we get comfortable that revenue is only going to be down something like 10%?
Denise L. Ramos - President, Chief Executive Officer & Director: Sure, Nathan. Let me address that. In terms of IP, we expect, from an organic perspective, to be down a little bit more than the 10% with that. But when you then think about the backlog, within the backlog that we have today, it's heavily weighted towards the project side of the business. So, our expectation is to convert that backlog, a good portion of it that we have today, over 90% or so, into project revenues in 2016. And then, on top of that, we have a good amount of book-and-ship that is going to come through during the year. And so the projects business and the backlog will be down 25% or so from a backlog perspective, but then we've got the book-and-ship that's coming into play. And that's where we then end up with the IP number at the end of the year.
Thomas M. Scalera - Chief Financial Officer: And the book-and-ship rate, Nathan, just is lower decline year-over-year than what we're seeing obviously in the project level. So, it dilutes it down.
Nathan Jones - Stifel, Nicolaus & Co., Inc.: Okay. So book-and-ship is down, but nowhere near as much as the project business?
Denise L. Ramos - President, Chief Executive Officer & Director: Right.
Thomas M. Scalera - Chief Financial Officer: Correct.
Nathan Jones - Stifel, Nicolaus & Co., Inc.: The next thing I'd like to talk about is Motion Technologies and the new facility that's going into Mexico. When you put the facility into Wuxi, you had pretty much nothing in the way of start-up issues. When you put the new facility, the ICS facility into Mexico, we've had quite a number of start-up issues there. I know you sent a whole lot of people from Barge to Wuxi to help get everything up and running there. Is that going to be the same process that you use starting up the new facility in Mexico, to try and avoid – have the good Motion Technologies launch rather than the troubled Interconnect launch?
Denise L. Ramos - President, Chief Executive Officer & Director: Yeah. They're very, very different businesses and very different situations that we're dealing with here. I think the best way to think about the North American facility for Motion Tech is to use an example of what we did in Wuxi, because that is the same process that's going to be applied to the North American facility. So, we're going to be utilizing the same processes, the same procedures, the same technologies, the same machining. All of that is just being replicated and duplicated in North America, which is exactly what we did when we went into Wuxi. And the other thing that's important to note here is that we're only going to build it in a very modular way, just like we did with Wuxi. So, we will only build according to the platforms that we know that we have won. And looking at what we have today for the first phase of this investment, we basically have all the platforms awarded to us today for that first phase of that facility. So you really can't compare the two situations. They're very, very different.
Nathan Jones - Stifel, Nicolaus & Co., Inc.: Yeah. That was kind of the answer I expected there. If I could just do one more on Motion Technologies. Obviously, that organic growth number in the fourth quarter was enormous. And then the 2016, maybe a little lower than I would have expected. Did you borrow some demand from 2016 in the fourth quarter?
Thomas M. Scalera - Chief Financial Officer: No, Nathan. What happened in the fourth quarter, it's really the year-over-year phenomenon where our customers, primarily in Europe, shut down their operations for longer periods of time last year. So we actually probably effectively had more days of shipment in December of 2015 compared to lower levels of activity in December of 2014. So that was one of the kind of just situational 2015 growth factors. We also did have some nice platform starts and increasing ramp-ups in Q4 of 2015. So those are two positives. But the last piece I would say is on the aftermarket side. There were dealership incentives that they were pushing to drive volume into their aftermarket activity. So we did see, I would say probably an unexpected uptick in aftermarket activity, because dealers were pushing more volume on the aftermarket replacement side than we had anticipated, and we were happy to be able to deliver that quickly based on our overall effectiveness. So not really an impact on 2016, more a reflection of some of the unusual dynamics that we saw compared to 2014.
Nathan Jones - Stifel, Nicolaus & Co., Inc.: Okay. That's helpful. I'll pass it on.
Operator: Our next question comes from the line of Matt Summerville with Alembic Global Advisors.
Matt J. Summerville - Alembic Global Advisors LLC: Hey. Good morning. A couple of questions. First, just with respect to ICS, can you quantify the total magnitude of what I'll call disruptive costs that you encountered in 2015, whether that lingers into 2016, and I guess, how recovery of that disruptive cost should play out?
Denise L. Ramos - President, Chief Executive Officer & Director: Sure. ICS, as we've indicated before, was a very, very highly complex move that really began to occur in the first quarter of 2015. It involves three facilities. And frankly, it just didn't play out exactly as we wanted it to play out. We've been heavily involved in fixing the operations down there, and the goal has been to really to make sure that we create a very sustainable foundation going forward. So, we have a sense of urgency. We're going to make sure we do it the right way. And that's going to be the right way for our customers, our share owners, and all of our constituents. So, what we've been doing and what we've been doing differently over the past six months or so is we have many new people down in Nogales, we have a new site leader. The GM of the business has been given full accountability for fixing this situation. We've been putting black belts in there, some additional finance support, and we've been making some investments. We do monitor it on a regular weekly basis. And we've been seeing improvements in increasing our machining capability and improvements in production scheduling and better supply or on-time performance. And that is all going to benefit us as we go through 2016. So, we do expect, as we go through 2016, to be able to improve our operations, improve our delivery, and gradually just get better as we go throughout the year.
Matt J. Summerville - Alembic Global Advisors LLC: When would you anticipate that business sort of getting back into the double-digit range from an operating margin standpoint? And then different question from a segment standpoint, you mentioned – someone did in their prepared remarks, either you or Tom, that pricing pressure has intensified in IP and it sounds like in the auto business. Can you quantify that a little bit to help out with that?
Denise L. Ramos - President, Chief Executive Officer & Director: Let me answer the question on the double-digit margins in ICS. I'd love to be able to give you a more precise answer on that one. We have a lot of factors taking place in ICS. So, we've got the Nogales issue there. As I say, we expect to see improvements as we go throughout the year. But overlaying that is, ICS has – it has a very profitable oil and gas business. And we've been seeing, as we are seeing in the IP side of the business, that that business is being impacted by what's happening with oil price because most of those volumes go into the upstream side of the oil and gas business. And then, just a general industrial weakness is also impacting ICS. So, you're going to have some of those issues with the oil and gas and with the general industrial, but yet we continue to expect to see improvements in the Nogales operations. And we're doing additional restructuring actions also along the way.
Thomas M. Scalera - Chief Financial Officer: Yeah. Just to follow up on price, Matt, so, we are expecting another year pretty similar in price to what we saw in 2015, about a 1% decline across the portfolio. A lot of puts and takes there, but we are always facing constant pricing pressures in automotive. That will always be a part of our annual conversation. Certainly, in IP, I would say in the short-cycle business, really not a real pricing story there. It's just something we're mindful of. On the project side of the Industrial Process business, we're going to continue to assume intense pricing, which, at this stage, may cause us to walk away from some opportunities. So, we're certainly looking at all those factors and forces as we go into 2016. But on balance, it's a pretty consistent decline from what we've seen in 2015. But I think there is the possibility that those pressures intensify if the broader markets, particularly on the commodity side and oil and gas side, stay where they are. We're going to assume it's going to be intense and work our productivity to drive the offsets. And just lastly, on the productivity side, one area of offset is lower material and cost inflation that we're assuming and that we're seeing and that we're driving going into 2016. So one of the offsets in this difficult environment is we are seeing lower inflation across the board, which is helping to drive our net productivity up.
Matt J. Summerville - Alembic Global Advisors LLC: Got it. Thanks, guys.
Thomas M. Scalera - Chief Financial Officer: Thanks, Matt.
Denise L. Ramos - President, Chief Executive Officer & Director: Thanks, Matt.
Operator: Our next question comes from the line of John Inch with Deutsche Bank.
John G. Inch - Deutsche Bank Securities, Inc.: Thank you. Good morning, everyone.
Denise L. Ramos - President, Chief Executive Officer & Director: Hi, John.
John G. Inch - Deutsche Bank Securities, Inc.: Hey. Good morning. So, Tom, can you quantify these investments in new aerospace programs and, sort of, what's the runway here? And maybe just provide a little color in terms of what they're for and what's the payback, that sort of thing?
Thomas M. Scalera - Chief Financial Officer: Sure. And we saw some of that in Q4. You could see in the Control Technologies margins, we did have a much bigger level of investment in the fourth quarter. That was about 400-plus basis points that impacted the fourth quarter. That was at $2 million to $3 million last year, and we're looking probably in the neighborhood of $3 million to $4 million in 2016, maybe a little bit of a plus-up depending on how some other programs materialized, so the programs that we know we're on are long-term highly-engineered projects, where we do have more engineering investment than we've had in our past. So, this is a reflection of the change of our business model, if you will, on Control Technologies. As we move in to more complex systems and more complex activities, we are seeing more investment in upfront engineering and then we see a longer opportunity to very significant platforms. So 2016, particularly in the first half of the year, we will be investing in some platforms that we've already been identified for. And again, that probably picks up year-over-year by about $2 million to $3 million, and we're competing for other platforms. And quite honestly, if we are successful in some other platforms, we would be happy to have that number increase from an engineering perspective. But as we move up the value chain, we'll make more upfront investments for longer-term participation and more highly-engineered projects in the aerospace market.
John G. Inch - Deutsche Bank Securities, Inc.: Yeah. Okay. That makes sense. Hey, Tom, by the way, what's your Wolverine assumptions as part of your 2016 guidance, like, maybe just what the EPS contribution from Wolverine do you expect this year?
Thomas M. Scalera - Chief Financial Officer: Sure. Wolverine had solid year of pro forma growth in 2015 and from a top line perspective, we're expecting similar mid-to-high single-digit growth in Wolverine based on their platform wins and their overall performance. So the top line growth is pretty solid from Wolverine. They have a nice margin profile, and I think the overall effect is they're driving the majority of the acquisition improvement you see in our walk of the $0.14 that we're showing year-over-year. I would consider Wolverine to be the majority of that benefit. We also have to factor in the interest on the debt, so you're going to see a little bit more operationally. But I would say the majority of the $0.14 is going to be driven by Wolverine this year.
John G. Inch - Deutsche Bank Securities, Inc.: Okay. That would mean the high majority, I'm assuming, right?
Thomas M. Scalera - Chief Financial Officer: Yes. Yeah.
John G. Inch - Deutsche Bank Securities, Inc.: Okay. Hey, Denise, you raised the dividend by 5%, and two years ago, you raised it by 10%, and then last year you raised it by 7.5%, and now it's 5%. Are you signaling some sort of a shift in the way you're going to think about returning cash to shareholders, maybe do more share repurchase over time versus dividend or – what – I'm just trying to understand what goes into the thought process around raising dividend this year by a lower growth rate than in prior years?
Denise L. Ramos - President, Chief Executive Officer & Director: Sure. John, we look at our yield and what it is compared to our peer set and compared to others in our space. And when we look at that, we say what seems reasonable for us, when we look at a dividend. The first thing is we believe very strongly in our performance from a company perspective, and increasing the dividend is something that is a recognition of that. So, we look on that. We look at just the whole capital deployment around acquisitions, organic investments, share repurchases, dividend. I think it's a nice signal that we're increasing the dividend and shows the confidence we have in the performance of this company.
John G. Inch - Deutsche Bank Securities, Inc.: Okay. Maybe just last, prior to the oil and gas downturn, which of course nobody forecast, you guys had actually – you opened Korea, you'd expanded Seneca Falls. Now, we are in this downturn, and it's anyone's debate how long it's going to go on, it could go on for a long time. Where do we stand with respect to Industrial Process' capacity? And how does that play into your sort of the strategic planning here? Do you have to kind of go back and maybe shutter some capacity that had been expanded? Or can you fill it with other product stuff or what – maybe you could just give us a quick update on that. Thank you.
Denise L. Ramos - President, Chief Executive Officer & Director: Sure, John. When you look at the facility, the first thing to say is we have pretty much a concentrated footprint from a facility perspective. So, we have – when you look at the project side of the business, you've got Korea, you've got Seneca Falls, and you've got Bornemann. And basically, those are the facilities that we have. So what we're doing from a project perspective is we are looking at the best place to produce those projects and where it makes the most sense to do that. Obviously, with the decline that we've had, we have more capacity that's not being utilized today than we did two years ago with that. But we're looking at how we shipped it and how we optimized it and what we do differently going forward with it.
Thomas M. Scalera - Chief Financial Officer: Yeah. And, John, just as we kind of look at what we've done to-date, we've exited four operating facilities and we've consolidated those into their centers of excellence. So, the investments we've made have been in our centers of excellence, and the rationalization that we've been executing is going to continue to fold into where we have our key engineering strength, where we can get the most fixed cost and overhead leverage. So, that strategy has been working very well for us. We also closed 12 sales offices around the globe. And just lastly, I'd mentioned that we did focus quite a bit early on in restructuring our upstream business. So, where we made the most significant kind of restructuring investments in late half of 2014 and 2015 was really getting the upstream business repositioned for the market dynamics that we've seen, and a lot of that work is substantially behind us at this point.
John G. Inch - Deutsche Bank Securities, Inc.: Got it. Great. Thanks very much.
Thomas M. Scalera - Chief Financial Officer: Thanks, John.
Operator: Our next question comes from the line of Mike Halloran with Robert W. Baird.
Mike P. Halloran - Robert W. Baird & Co., Inc. (Broker): Good morning, everyone.
Denise L. Ramos - President, Chief Executive Officer & Director: Good morning, Mike.
Mike P. Halloran - Robert W. Baird & Co., Inc. (Broker): So, let's start on the margins, you helped out a little bit with thought process for ICS as you work through next year. Maybe similar thoughts on CT and IP? CT obviously had some one-time things this fourth quarter. Do we expect some sort of reversion towards what has historically been a more normalized level? And then, on the IP side, how do you balance out the volume declines with some of the mix change and where you think those margins go this year?
Thomas M. Scalera - Chief Financial Officer: Sure. Mike, from a CT perspective, that engineering investment that we're going to make is going to be weighted more heavily in the front half of 2016. So, you'll see some improvements certainly from where we ended the year because we did have a legal settlement that impacted Q4 that's now behind us. And but what I would expect to see is higher levels of investment in the first half at CT as we work through this program engineering. And then kind of a resumption to the normal levels that you've seen from a CT margin perspective in the second half of 2016. On the IP side, the margins really, kind of, will improve as the year goes on sequentially based on the productivity benefits compounding. We do have a higher weighting of projects in the first half of the year as we start to ship through backlog that we already have. In the second half of the year at IP, the mix becomes more favorable and the benefits from restructuring and productivity actions, we would expect to be much more pronounced in the second half of the year. So, the IP margins kind of start low and improve for those reasons as the year goes on. And CT margins start low because of this investment phase in the first half, but then resume normal levels in the second half.
Mike P. Halloran - Robert W. Baird & Co., Inc. (Broker): And to the IP piece, is the thought process something towards flattish in that segment year-over-year in 2016?
Thomas M. Scalera - Chief Financial Officer: We're driving for growth, Mike. We continue to believe that we've had a differentiated opportunity set in IP, a number of opportunities just to drive efficiencies, to drive cost savings and we have been out pursuing that for a couple years very aggressively, and we're starting to see the compounding benefits of that productivity drive. So I – we are expecting growth in IP. We have hardwired plans. Obviously, benefits from restructuring will factor in there and the benefits of the lower material and labor and overhead inflation will also be part of the story for IP. So, yes, we are expecting to grow margins at IP for all those reasons.
Mike P. Halloran - Robert W. Baird & Co., Inc. (Broker): It makes sense. And then, on the revenue side of the equation, maybe you could just talk about the expectation as you work through the year from an environment perspective. I think the first question was revolving around the short cycle business and how that onloads through the year to help you – that help mitigate some of the project pressure. Is there an assumption for improved trends as you look through the year, both in that division and more broadly, or is this more a thought process of stability from current levels?
Thomas M. Scalera - Chief Financial Officer: Yeah. It's absolutely the latter, stability from current levels is how we're looking out at IP, where from a project perspective, it's the backlog that we have that primarily is what we're factoring in from a project side. And on the short cycle business, it's really reflective of the run rate we've seen in Q4, and that's going to be the underpinning of the revenue projections for the year. And we'll add some initiatives on top of that. So there are some areas of focus that we're going to be moving into. We have a pretty wide range of offerings. So we're going to target some other categories of opportunities for us that might give us a little bit of a bump from share gains. But at the core of the business, it's the backlog and the run rates that we see today.
Mike P. Halloran - Robert W. Baird & Co., Inc. (Broker): Great. I appreciate the time.
Thomas M. Scalera - Chief Financial Officer: Thanks, Mike.
Denise L. Ramos - President, Chief Executive Officer & Director: Thanks, Mike.
Operator: Ladies and gentlemen, we do ask that you please limit your questions to only one. Our next question comes from the line of Joe Giordano with Cowen.
Joseph Giordano - Cowen & Co. LLC: Yes. Thanks for taking my question. As we think about North American auto, I know you guys are positioned a bit differently on the share take side rather than the market growth. But I was curious as your comments – we're hearing a lot more about the continued shift towards SUVs and away from traditional cars. So, how has that kind of mix impacted your business and what type of incremental platforms have you been winning from GM and Chrysler of late?
Thomas M. Scalera - Chief Financial Officer: Interesting observation, Joe. We have had a recent track record of platform wins kind of outside of the typical light vehicle category. So, we have seen pickups and SUV opportunities in North America that have been very positive for us. So, we've been on the Ford F-150 and that's been a platform obviously that has given us some nice acceleration as the year has gone on. We've also had some nice pickups with Honda and Mazda and others in North America. So, the trends have been positive. We've mentioned that we have an opportunity with Chrysler that has already moved through the process, and as it relates to GM, let's just say that we're very pleased with the developments that we've seen with GM as of late. So, we feel good about the opportunity set and more platform launches, more trucks, more SUVs. That plays well into our recent strength, but we're certainly happy to be going after share gains on the light vehicle opportunities as well.
Denise L. Ramos - President, Chief Executive Officer & Director: On that same front, this is a share gain strategy for Motion Technologies. When you look at the new project launches that are expected to come in the next four years or so, there's a significant amount that come in 2018 and 2019. And so what we're able to do is to be able to bid on those and get awarded on those, get those platforms in our backlog. That's why this is the perfect time to do a facility like this because then you're ready to start producing when those new platforms are coming on, which is in 2018 and 2019.
Joseph Giordano - Cowen & Co. LLC: Great. And I think I saw something this morning about Honda actually making a much bigger push into trucks. So, good if you guys are getting on those as well. Thanks, guys.
Denise L. Ramos - President, Chief Executive Officer & Director: Thanks, Joe.
Thomas M. Scalera - Chief Financial Officer: Thanks, Joe.
Operator: Our next question comes from the line of Andrew Obin with Bank of America Merrill Lynch.
Andrew Burris Obin - Bank of America Merrill Lynch: Yes, good morning.
Denise L. Ramos - President, Chief Executive Officer & Director: Good morning, Andrew.
Thomas M. Scalera - Chief Financial Officer: Hi, Andrew.
Andrew Burris Obin - Bank of America Merrill Lynch: Just a question, just to follow-up on something you said. You did highlight intense pricing pressure, I think, on oil and gas. Can you frame that? What does intense mean?
Thomas M. Scalera - Chief Financial Officer: It's always tricky on the project side, Andrew, because it's – you rarely have the same project overlap year after year. So, I think we're kind of, from the intense pressures last year, we're expecting it to take another, call it, 5% turn down. But there's a point at which those projects are not ones that we would want to be competing for. And I think that's one of the challenges, obviously, in this environment is to right-size and to be positioned to think through this difficult pricing environment. But the way we've looked at the revenue projections for 2016, what we have in backlog, we don't expect any impacts there from a pricing perspective and that largely is going to be what we have playing through in 2016. It's really setting up the order book, going into the future, where we're going to be selective and making sure that we don't fill the backlog with low margin opportunities going forward.
Andrew Burris Obin - Bank of America Merrill Lynch: And how do you guys feel about sort of MRO and short-cycle business, about the ability of your customers to keep postponing it? Because eventually something blows up. How long do you think until they can keep doing that? And what are the alternatives if they don't get the stuff from you? Can they just fabricate it in their own shops?
Thomas M. Scalera - Chief Financial Officer: Yeah. Andrew, given the highly complex nature and where we are, there is a significant safety concern. There are also warranty issues and other considerations that a customer would be evaluating when they would look to do their own repairs or what have you. But typically given the highly engineered nature of large categories of our project business, it is typical that we would see the customer come back to us for the parts. They could certainly reduce their inventory of parts that they hold. There could be some de-stocking. There could be kind of maintaining fewer replacement pumps and parts. So we have seen some of that burn down. We've also seen some of the service activity, particularly in 2015, was much slower than we've seen historically. We anticipate some of those challenges playing through into next year, but a little bit of a normalization on the service side and likely a normalization on the parts side. But having said all that, we're not expecting growth in 2016 in those categories because for all these factors, is very hard to predict exactly what the customers are going to be doing. We believe, at some point, they will come back for parts. We think it's the right way to run the operations, but it's very hard for us to predict exactly when. So I don't think it's a question of if, it's a question of when, but the when has been a little bit longer than I think we've anticipated.
Andrew Burris Obin - Bank of America Merrill Lynch: Terrific. Thank you so much.
Operator: Our next question comes from the line of Shannon O'Callaghan with UBS.
Shannon O'Callaghan - UBS Securities LLC: Good morning.
Thomas M. Scalera - Chief Financial Officer: Hey, Shannon.
Denise L. Ramos - President, Chief Executive Officer & Director: Good morning, Shannon.
Shannon O'Callaghan - UBS Securities LLC: Hey. On the – can you just clarify (59:33) question, just in terms of the backlog ship and the projects, it sounded like you still have a fair amount of project backlog to ship this year. So wouldn't that support the project revenues? But yet it sounds like those are going to be down the most. Can you just clarify your expectations there on how much backlog you do plan to ship?
Thomas M. Scalera - Chief Financial Officer: Yeah. Shannon. So the backlog shipment for projects, well, we do expect our projects to be down significantly year-over-year, because we have fewer projects in backlog this year than we had last year. So the percent of the backlog, we do expect it to come down and really the focus is to shift what we already have in backlog. So you will see a plus 30% decline in projects year-over-year following a reasonably strong only down 6% project year in 2015. So obviously, we were shipping a lot of big global projects in oil and gas, in mining and chemical in 2015 and those are not playing through again in 2016. So the revenue will be down based on the backlog we have today and assuming we're able to ship it through for the year that's the net result will be a down 30% plus in projects.
Shannon O'Callaghan - UBS Securities LLC: Okay. As you think about having up margins in Industrial Process, I mean, does the mix factor into that relative to the margins you're expecting on the remaining project backlog?
Thomas M. Scalera - Chief Financial Officer: It does. It's one of the components, Shannon, for sure. But the real area of focus in driving the margin uplift is going to be on the productivity side, the benefits of the restructuring, and lower inflation on materials, labor and overhead. So, all those factors will be there, but we're assuming additional price pressures, again, as I mentioned, and that's another factor that we're dealing with. The productivity led by restructuring and overall efficiency is going to be the key to drive the margins forward.
Shannon O'Callaghan - UBS Securities LLC: Okay. Great. Thanks a lot.
Thomas M. Scalera - Chief Financial Officer: Okay.
Operator: And, ladies and gentlemen, we have reached our allotted time for questions. I would now like to turn the floor back over to Denise Ramos for any additional or closing remarks.
Denise L. Ramos - President, Chief Executive Officer & Director: Well, thank you, everybody, for joining us on this call today, and we look forward to talking with you next quarter. Thanks.
Operator: Thank you. This does conclude today's teleconference. Please disconnect your lines at this time and have a wonderful day.